Operator: Good afternoon, everyone. Welcome to NIKE, Inc.'s Fiscal 2019 Fourth Quarter Conference Call. For those who want to reference today's press release, you'll find it at http://investors.nike.com. Leading today's call is Nitesh Sharan, Vice President, Investor Relations and Treasurer. Before I turn the call over to Mr. Sharan, let me remind you that participants on this call will make forward-looking statements, based on current expectations and those statements are subject to certain risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are detailed in the reports filed with the SEC, including the annual report filed on Form 10-K. Some forward-looking statements may concern expectations of future revenue growth or gross margin. In addition, participants may discuss non-GAAP financial measures, including references to constant-dollar revenue. References to constant-dollar revenue are intended to provide context as to the performance of the business eliminating foreign exchange fluctuations. Participants may also make references to other non-public financial and statistical information and to non-GAAP financial measures.  To the extent non-public financial and statistical information is discussed, presentations of comparable GAAP measures and quantitative reconciliations will be made available at NIKE’s website, http://investors.nike.com. Now I would like to turn the call over to Nitesh Sharan, Vice President, Investor Relations and Treasurer.
Nitesh Sharan: Thank you, operator. Hello everyone, and thank you for joining us today to discuss NIKE, Inc.'s fiscal 2019 fourth quarter and full year results. As the operator indicated, participants on today's call may discuss non-GAAP financial measures. You will find the appropriate reconciliations in our press release, which was issued about an hour ago, or at our website investors.nike.com. Joining us on today's call will be NIKE, Inc. Chairman, President and CEO, Mark Parker, and our Chief Financial Officer, Andy Campion. Following their prepared remarks, we will take your questions. We would like to allow as many of you to ask questions as possible in our allotted time. So we would appreciate you limiting your initial questions to two. In the event you have additional questions that are not covered by others, please feel free to re-queue and we will do our best to come back to you. Thanks for your cooperation on this. I’ll now turn the call over to NIKE, Inc. Chairman, President and CEO, Mark Parker.
Mark Parker: Thanks, Nitesh, and hello and good afternoon everyone. NIKE delivered strong results in fiscal year '19 growing 11% on a currency neutral basis, which outpaced our expectations from the beginning of the year. Our results are further proof that the demand for sport performance and athletic lifestyle product is thriving and our consumer direct offense is capturing more of that opportunity every day.  What's most exciting is that we delivered broad-based growth through our complete portfolio. We saw that balance across our geographies, men's and women's and key categories. Overall fiscal '19 was the defining year for NIKE as we accelerated the high-impact capabilities of innovation, direct and speed that fuel our triple-double. Innovation continues to win with consumers not only in performance product but also in sportswear. In fiscal '19 new innovation platforms drove roughly 100% of our total incremental growth, which is exceeding the long-term target we laid out at Investor Day 2017.  In digital we know we're just getting started. NIKE is accelerating our digital advantage and that focus led to 35% digital revenue growth. Speed remains an incredible opportunity, and we're well on our way towards cutting our product creation cycle in half and we're investing in responsive manufacturing, connected inventory and optimizing data to capitalize on real-time consumer demand. And finally throughout the year, our brand connected emotionally with a wider audience in more meaningful ways.  Our triple-double, our focus on the triple-double is especially important in an environment like we're in right now, where geopolitical dynamics have led to trade tensions and foreign exchange volatility. We’re certainly mindful of the risks, and more importantly we're in command of the conditions that are under our control. And that's serving the consumer and managing the leverage we have, delivering great products, engaging experiences and building our brand.  Our greater China business is the blueprint for how all those dimensions come together. We added more than $1 billion of incremental growth in the geography over this past year. We are and remain a brand of China and for China. NIKE is proud of the investments we've made and the relationships we've developed in energizing this marketplace. We're confident that we will continue to grow sport and our business in China for decades to come.  Now let's go deeper on the three capabilities that are NIKE's greatest catalysts for growth, and that's innovation, direct and speed. And I'll start with innovation. The consumer continues to tell us they want innovation to perform better as well as innovation that creates distinctions in their lifestyle product. Refueling that demand with styles like the Max 270, VaporMax and Max 720 which were amongst NIKE's top volume drivers for the year.  The React platform too, expanded into sportswear led by the React Element 55, 87 and the Presto. In both React and Air innovations helped fuel sportswear to another 20% plus growth quarter in Q4. Looking ahead to fiscal year '20 we see great opportunity for both platforms to continue to carve out new space in the lifestyle markets.  In performance footwear, basketball accelerated in Q4. The greatest growth continues to come from NIKE's own digital platforms where we have the most direct connection with the passionate basketball consumer. And signature shoes continue to lead the way, with KD, LeBron and KYRIE all growing double digits. And next month were looking forward to adding another exciting personality to the mix with the addition of Giannis and his first signature collection following his incredible MVP season.  The Jordan Brand had a very strong year growing 12%. Jordan returned to a poor market in North America after we reset the marketplace earlier in the year. The Air Jordan 1 continues to be a global phenomenon, as we see success in both High Heat and In Line [ph] styles.  In China we see a healthy balance between Jordan Lifestyle and performance product and we know there's still more opportunity for performance footwear in all geos. The new chapters of the Jordan growth story, apparel, women's and international are showing great potential. It's hard to overstate how important this year has been to the evolution of the women's offense at NIKE. The business grew double digits in fiscal ’19, accelerating in the back half of the year.  Our momentum in women's a great example of how our renewed focus is really moving the needle through thoughtful designs, powerful brand messages, and digitally led distribution. You're obviously seeing it now with all the energy around World Cup.  To start the tournament nearly two-thirds of the teams wore NIKE kits and half the players wear our boots. The exposure is driving outstanding sell through in kits, high performance bras and lifestyle extensions. In fact, the USA Women's home jersey is now the number one soccer jersey men's or women's ever sold on NIKE.com in one season.  For me personally, the groundswell of support around the world for the athletes and teams has been truly inspiring. Tomorrow, all eyes are going to be on the U.S. versus France. I know I can't wait to watch these two NIKE teams in what should be one of the top matches of the tournament.  We're equally focused on delivering for the everyday athletes as we continue to fuel the broader movement of health and wellness around the world. Across the portfolio, we're serving women in more dimensions. This quarter we claimed the number one position in market share for bras in North America for the first time in NIKE’s history.  Through [indiscernible], and women's specific sneakers like the Air Max Dia, we fueled sportswear, footwear and apparel to strong double digit growth this quarter. And we're expanding our inclusive size and collections with over 90 styles across run, train and live. And later this year we’ll unveil geography specific women's apparel for the Asian market based on our research of body types and sizes.  One question I get asked a lot is how we plan to accelerate the growth in our Women's Business? In addition to the right product and inspirational brand experiences, the major unlock we see over the next several years is the opportunity that digital provides. Distribution is often one of our biggest barriers. And we continue to find that when we present product in a more future forward way, we’re able to take the female consumer someplace new. And they're responding.  Our Women's Business in NIKE Direct and through our digital platforms continues to outpace our performance in the wholesale channels. Digital and where digital meets physical will be tremendous sources of growth in women's moving forward.  Another massive opportunity that we continue to obsess is apparel. At NIKE we have a number of advantages in our favor that we leverage. We work with the best athletes, leagues and federations and we celebrate them through moments like the World Cup, leagues like the NBA and partnerships like Jordan and PSG. We have multiple categories that surface deep consumer insights.  Our apparel businesses this quarter grew double digits across basketball, training, and women's. And we have a world class design team that connects culture to sport in very creative ways. In fiscal year ‘19 we grew NIKE sportswear apparel over 20% into an over $3 billion business.  With our core footwear business, we've talked about the importance of refreshing our collections for today's demanding consumer. Looking ahead, we're doing that with a steady flow of new core footwear that features Air Max and Zoom Air and we will introduce more innovation in the space. One example being our Renew platform. You'll also see added retail support from many of the new collections in this price range. As we start fiscal ’20, we're reloading with new platforms that will shape our innovation agenda for years to come. This week, we launched the new shoe that merges two of our most celebrated platforms, the Air Max React 270. And we have more hybrids in footwear on the way for the next several seasons.  In the end of Q1 we’ll unveil Joyride, which is a platform that I'm incredibly excited about. This new approach to cushioning will deliver a more personalized feeling for runners at every level. I've been wearing different versions over the last year, and it's extremely comfortable. We think the design has great potential to stand out with the consumer in both performance and lifestyle. And finally, as we head into the back half of the fiscal year, we'll give full view into NIKE'S innovation pipeline for the Tokyo Olympics. We'll evolve 4%, a shoe that dominated metal stands [ph] into what we call next percent, which will deliver even greater measurable benefits to more athletes. You'll see sustainability that plays an even more elevated role in our design. And we'll deliver collections with more commercial potential than any other Olympics in our history. As we look ahead, these innovations will serve as the foundation for NIKE products and collections well into fiscal '21 and beyond. These platforms are the launchpad for the future growth of our company. Fiscal year '19 was also a year that we saw NIKE accelerate our digital advantage. I noted earlier that the 2X Direct is catalyzing our growth. Within Direct its digital, within digital, it's mobile. And within mobile, it's our apps. And all of this leverages and builds membership. Our investments are enabling us to identify and better serve our members personally, which is driving higher consumer lifetime value. We've just passed 170 million total members in the NIKE Plus ecosystem ahead of the pace we communicated at Investor Day. The sneakers app has become an incredible asset to our brand, with users checking in daily, and has acquired more new members than any other digital channel for NIKE. For the fiscal year, sneakers more than doubled his business, doubled its number of monthly active users, and now accounts for roughly 20% of our overall digital business. The NIKE app, our most comprehensive one stop shop for NIKE products is quickly expanding with triple digit revenue growth in Q4. And in the first half of fiscal year '20, we will launch the NIKE app in China and in 13 new markets in EMEA. This will be an incredible addition to our business through a potential pool of hundreds of millions of new members. The digital opportunity alone is tremendous. But just as promising is how digital and physical environments are intersecting and amplify each other. Our most effective test case thus far has been the NIKE app at retail, which links features of the NIKE app to our physical retail experiences. The NIKE app at retail is live in over 30 doors across the U.S., the UK and France. And we'll be scaling considerably throughout fiscal year '20, including in select factory stores. A few of the insights that we gained in our early pilots are that physical retail can be an exponential driver of membership. Product scans in-store often fuel online purchases later. And in-store exclusive offers through mobile tend to drive higher conversion rates and outsized spending. We're in the early stages of this elevated way of serving the consumer in our own environments.  At the same time, we're moving quickly to scale these features and connecting inventory with our wholesale partners. A stronger use of digital and physical retail is everyone's opportunities. Seamless, frictionless shopping is what the consumer expects today. This quarter, we introduced a new digital concept to address one of the most significant problems consumers face. And that's sizing in footwear.  Our solution NIKE Fit scans the foot either through your smartphone camera, or through an in-store experience. We believe a more accurate understanding of a consumer size will not only minimize returns, reduce costs and drive healthier growth, the insights we gain will also improve the way NIKE designs and manufactures product. We're excited to roll out NIKE Fit in the U.S. and EMEA later in 2019.  Our success through digital also relies on getting product to market faster. One way, we do that is through more responsive manufacturing. This summer we're making a significant investment in our manufacturing capabilities with an additional NIKE Air manufacturing center here in the United States. The consumer demand for NIKE Air is currently outpacing supply. This investment will help us better meet that demand and accelerate new innovations for one of our most distinct platforms. We will have more details coming in July.  We also continue to build our capabilities in data and analytics, digital demand sensing and connected inventory to create a supply chain that anticipates and response to shifts in consumers demand quickly. Beginning in Q1, we placed RFID in nearly all NIKE footwear and apparel, which is hundreds of millions of products. RFID gives us the most complete view of our inventory that we have ever had. It's quickly becoming the most precise tool in our arsenal to meet an individual consumer specific need at the exact right moment. We will go live with this capability in Q1 across 20 NIKE Direct stores and then continue to scale across the fleet.  Our sharper understanding of what's selling will also continue to inform our express lane, which is already driving higher full price sell through and better gross margins. In EMEA the Express Lane now totals over 20% of their business. A smarter use of data is also providing even more value to our most engaged NIKE consumers. One new model we're testing offers concept car footwear innovation from NIKE's leading designers to our most valued members in North America. This is a great opportunity to leverage member insights to serve them better and inform which products to scale.  Finally, 2019 was a year in which the NIKE brand rose above and connected emotionally with consumers on another level. We broke through with a number of Just Do It campaigns that’s celebrated our athlete's strengths. Over the course of fiscal '19, Just Do It generated an unprecedented 1.5 billion consumer engagements across our geographies and versus last year Google search volume for the words NIKE and Just Do It increased well over 100%.  This quarter we also released our Impact Report showing the various ways that NIKE is taking meaningful action to protect the future of sport. We're working with communities of young people to increase activity with programs like Made to Play that reach 16 million kids. And we are investing in the training of over 100,000 coaches this year to mentor girls worldwide. We're also minimizing our environmental footprint with a target of 100% renewable energy globally by 2025. We are driving sustainability at scale through recycled material in our aerosols, which is diverting 50 million pounds of waste from landfills each year. These are the kinds of steps and transparency that consumers expect today and as we share our stories we're bringing even more dimensions and value to the NIKE brand.  NIKE itself, in making amazing products, inspiring through an iconic brand and leading through digital advantage. We're pushing the pace in all three facets and ended up with a formula for creating strong shareholder value. We're proud of the results our team delivered in fiscal '19, but more importantly, with an earnest future were confident that NIKE is investing in the right areas to extend our competitive advantage and continue to deliver sustained growth over the long-term.  With that here's Andy. 
Andy Campion: Thank you, Mark, and good afternoon everyone on the call. As we close fiscal year '19 and we look ahead to fiscal year '20 three key themes stand out from the financial perspective. First NIKE is a growth company. Growth is how we measure the value we're creating for consumers and growth is paramount in terms of how NIKE creates value for shareholders.  Second, NIKE's growth is being fueled by strategic transformation. Transformation is about deliberately driving acceleration toward what you aspire to be in the future, not about just extrapolating what you are today. Accordingly, transformation requires innovation, it requires continuous learning and it requires investment.  Third, especially in times of geopolitical and FX volatility NIKE's currency neutral financial performance provides a clear view into our fundamentally strong growth, expanding profitability and potential to create extraordinary value for our shareholders.  Let's first go a little deeper on growth. At our Investor Day in October 2017, we said that our new consumer direct offense would generate high single digit revenue growth on average over the next five years. In our first full year executing this new strategy we accelerated out of the box, with growth in fiscal year '19 that exceeded expectations.  For the full year NIKE, Inc. revenue grew 11% on a currency neutral basis and 10% in the most recent quarter. At NIKE Scale that is roughly $4 billion of incremental revenue in just one year. Our growth is also broad-based with all four geographies growing at or above the long-term targets that we communicated for each geography at our Investor Day.  Now that brings me to the second key theme. Our growth is being fueled by a strategic transformation of NIKE globally. At our investor day we said that over the next five years, we aspire to double the cadence and impact of innovation, to operate with greater speed and agility and to double our direct connection to consumers, leading with digital. These three pillars of our strategy were designed to drive global transformation and growth across our 12 key cities and 10 key countries.  To help gauze the quality and impact of our growth, we also communicated several key measures of success. Today we are on pace to exceed on all of those measures. Take for example innovation. In fiscal year '19, we've already doubled the percentage of total revenue generated by recently launched innovation platforms as compared to fiscal year '17. We are delivering 2X innovation by prioritizing investment in platforms like React and Air that have greater potential to scale across both performance in sportswear. As for Direct we are also ahead of pace, NIKE Direct drove roughly 50% of our incremental revenue growth in fiscal year '19, with NIKE digital growing 35% for the full year. Digital commerce own and partnered is on track to comprise at least 30% of our business by 2023. And longer-term we see digital driving the majority of our business. This kind of transformational growth doesn't happen by accident transformation requires investment.  In fiscal year '19, we invested over $1 billion in new capabilities and consumer concepts that include significant investment in the sneakers app, the NIKE app, new store concepts leveraging digital, our NIKE Plus membership platform and enterprise wide data and analytics capabilities that are helping us serve NIKE consumers in new and better ways.  With these long-term focused transformational investments, equating to nearly all of our incremental SG&A versus prior year we're clearly also editing and shifting within our legacy expenditures. As for the sneakers app we acquired Virgin Mega two years ago, a little over two years ago and have since invested organically in the team, digital tools, content creation and the geographic rollout of sneakers into 22 countries, and the returns on our investment has been extraordinary. The sneakers app that has accelerated from less than $70 million in revenue in fiscal year '16 to an annual run rate of over $750 million based on Q4 fiscal year '19 performance.  We also invested significantly in the NIKE app. The NIKE app has extraordinary growth potential offering broader mobile access to NIKE's portfolio of products. In North America, NIKE app revenue is growing triple digits and we're just starting to roll out globally. As Mark mentioned, we'll launch the NIKE app in greater China in fiscal year '20. We're also investing in new store concepts that leverage digital including our two new houses innovation in New York and Shanghai and the smaller digitally enhanced format NIKE Live.  These store concepts are exceeding plan revenue as they bring to life new ways of serving the consumer through the use of the NIKE app at retail. That brings me to the six significant investments we're making in our NIKE Plus membership platform. These investments have been largely organic, focused on building capabilities that help us know our consumers better to serve them in new ways.  That said, we also acquired both Zodiac and Invertex roughly one year ago, to accelerate our membership offense. Zodiac has accelerated our ability to measure the impact of targeted service and product offerings on an individual's consumer lifetime value. While Invertex brought us computer visioning and volumetric based data and analytics that helped us create and bring NIKE Fit to market within just one year.  As I said earlier, the third key theme from a financial perspective is that in times like these, NIKE's currency neutral financial performance, offers a clear reflection of NIKE's fundamentally strong growth, expanding profitability and potential to create value for shareholders.  18 months ago, it appeared that harmonized global growth was beginning to turn foreign exchange into a slight tailwind for NIKE. However, geopolitical dynamics over the past year have led to dollar strengthening fueled largely by uncertainty around Brexit and U.S. China trade.  So within fiscal year ‘19, alone, dollar strengthening drove FX headwinds of over $1.4 billion on our reported revenue versus our plan entering fiscal year ‘19 and nearly $300 million in EBIT after taking into account our hedges.  We know that the foreign exchange headwinds of late may be transient. So we've remained primarily focused on the levers we can control in executing our strategy. And you see that in our currency neutral performance. Our strong currency neutral growth and margin expansion reflect NIKE's brand heat and distinction in North America and in all key international markets. The strength of our product portfolio and the transformation we're driving in the marketplace leveraging digital.  Our SG&A growth in fiscal year '19 was a function of accelerating the investments required to drive transformation while gaining leverage in our core legacy expenditures. We are editing and shifting to gain leverage most notably within our geographies, where we're creating differentiated consumer experiences leveraging digital while optimizing on differentiated retail.  That includes, for example, shifting many wholesale customers to what we call NIKE.net, an efficient digital platform for buying at wholesale. We're also testing new digital business models with respect to off price sales and optimizing our NIKE factory store fleet. Over the next three years, as we scaled it digital and drive more focused growth, we will increasingly edit and shift resources in targeted areas.  One key financial measure that reflects NIKE's unrivaled ability to turn strategic investment into competitive advantage and growth is return on invested capital. In fiscal year ’19 NIKE’s industry leading adjusted ROIC expanded over 400 basis points. Going forward, we see continued strong growth, expanding margins, and high returns on invested capital as we drive strategic transformation at NIKE through the consumer direct offense.  But before I share outlook for fiscal year '20 let's briefly touch on our strong Q4 results. NIKE Inc. Q4 revenue increased 4% on reporting real dollar basis and 10% on a currency neutral basis, with both meaningfully exceeding the expectations we communicated 90 days ago. For the full year NIKE Inc. revenue increased 7.5% on a reported basis, as strong 11% currency neutral growth was partially offset by FX headwinds.  Gross margin expanded 80 basis points in Q4, also exceeding our guidance. Margin expansion was driven by strong full price sales, enhanced product profitability and NIKE Digital growth. For the full year gross margins expanded 90 basis points. SG&A grew 9% in Q4, and 10% for the full year as we drove brand distinctions, and heat through the Just Do It Dream cape crazy campaigns and by amplifying the biggest moments in sport, while accelerating our investment in NIKE's digital transformation.  Our effective tax rate was 20.4% for the quarter, and 16.1% for the full year, slightly above our guidance driven by earnings mix and quarterly volatility associated with the continuing impacts of U.S. tax reform.  Fourth quarter diluted EPS was $0.62 and full year diluted EPS increased to $2.49. As of May 31 inventories were up 7% reflecting continued strong full price sell through and tight supply and supported strong forward looking demand.  Now let's turn to the financial performance for our operating segments. In North America, Q4 revenue grew 8% on a currency neutral basis with NIKE Digital leading all channels have strong double-digits. Well, NIKE Digital continues to power our growth. NIKE is also growing double-digit and gaining significant share with our strategic wholesale partners. That includes strong double-digit growth for NIKE within Foot Locker, Dick's Sporting Goods and Nordstrom. Growth and share gains within these leading wholesale partners reflect NIKE's branding distinction in North America, and the strength of our product portfolio.  Our footwear innovation continues to resonate and in apparel we see very strong demand. In some classifications so strong that it's putting pressure on our supply short-term. For the full year, North America's revenue increased 7%, amplified by strong gross margin expansion.  Now let's move to EMEA where the NIKE brand continues to lead and drive meaningful separation. Revenue grew 9% in EMEA on a currency neutral basis in Q4, driven by double-digit growth in NIKE Direct across footwear and apparel and in all territories. In EMEA, the NIKE brand is stronger than ever. We're the number one brand in all five key cities in this region. And as we speak, we're creating an even deeper emotional connection to consumers through the Woman's World Cup in France.  NIKE Digital continues to lead in EMEA, up 35% in the fourth quarter. Yet EMEA is another market where we are truly just getting started. As Mark mentioned, we will more fully leverage the power of mobile, launching the NIKE App into 13 additional countries in fiscal year '20.  The strength of the NIKE brand in EMEA is also translating into strong double-digit growth and significant share gains with our strategic wholesale partners, most notably JD and Zalando. Note that our strong overall growth in EMEA in Q4 was also comping strong football apparel growth in the prior year fueled by the men's World Cup. For the full year, currency neutral revenue grew 11% and was amplified by strong gross margin expansion. On a reported basis, fiscal year '19 revenue grew 6%.  Next, let's turn to Greater China, which grew 22% on a currency neutral basis in Q4. This marks the 20 consecutive quarter of double-digit growth in China. Growth was broad based across men's and women's performance in sportswear and led by digital. NIKE digital grew 37% in Q4, fueled by the sneakers app and the strength of NIKE branded experiences with partners such as Tmall and WeChat. For the full year revenue in Greater China increase 24% on a currency neutral basis. On a reported basis, FY19 revenue was up 21%. We see continued strong growth in China in fiscal year '20. As a brand of China for China, we are building deep and meaningful relationships with the Chinese consumer.  We're investing in our local team and talent, creating products specifically designed for the Chinese consumer, sponsoring China's top athletes federations and team and working closely with the Ministry of Sport and Education to fuel the passion for an increasing participation in sport and fitness in China. On that note, we're excited to amplify consumer's passion for basketball around the FIBA World Cup coming to China in Q1.  Let's turn to APLA, where Q4 revenue grew 9% of the currency neutral basis. Growth was strong across nearly all territories. NIKE is a number one favorite brands in all 3 of our key cities in this diverse geographies, Tokyo, Seoul and Mexico City. NIKE is also the leading brand in Southeast Asia growing strong double-digits. Our growth in APLA is led by digital fueled by the entrepreneurial mindset we're taking with digital partners such as ZOZOTOWN, Flipkart and others.  Looking ahead to fiscal year '20, we will signify expand out our NIKE own digital footprint through the scaling of our app eco system.  For the full fiscal year APLA revenue increased 13% on a currency neutral basis and 2% on a reported basis, and finally at Converse fiscal year '19 revenue increased 3% on a currency neutral basis and 1% on a reported basis, fueled by China and Converse's new digital commerce platform.  Looking forward, we have a new energized leadership team at Converse focused on fueling growth through product diversification, including reigniting Converse's authentic brand positioning in basketball. And that begin with the launch of the All-Star Pro BB basketball shoe in Q4.  With that let's turn to our outlook for fiscal year '20. Our taxes intensified over the past couple of months, creating more of a headwind on a reported basis, then we envision when we spoke with you last quarter. That said, our currency neutral outlook continues to improve taking these offsetting dynamics into account, we are reiterating our guidance for fiscal year '20.  Our outlook for full-year reported revenue growth remains in the high single-digit range slightly exceeding our reported revenue growth in fiscal year '19. We expect another year of broad-based growth with all four geographies delivering on our long-term financial model.  As for gross margin we expect expansion potentially approaching 50 basis points. To be clear, we see continued strong operational margin expansion that would otherwise exceed our long-term financial model but for two items, foreign exchange, and strategic supply chain investments such as RFID and expanding Air manufacturing innovation will create a roughly 50 basis points headwind on margin. That headwind is factored in to our guidance.  As for SG&A we currently expect strategic investment, offset by productivity initiatives to result in very slight SG&A leverage in fiscal year '20. SG&A should eventually grow in line with revenue growth. As for OIE net interest expense we expect $50 million to $100 million of income for the year. We see our effective tax rate, in the mid to high teens range. That said we expect continued quarterly volatility based on the publishing of guidance relative to U.S. tax reform and other discrete items.  Our primary focus is on the full-year and long-term. However, I'll provide a few specifics with respect to dynamics impact in Q1. In Q1 we expect reported revenue growth in line to slightly above our reported revenue growth in Q4. We expect currency neutral revenue growth squarely within the high single-digit range, offset by four points of the FX headwinds. Based on current FX rates the FX impact on revenue should largely abate from Q2 forward. It's also worth noting that in Q1 of fiscal year 19, we were already scaling React and Air Max 270 which had been launched in late fiscal year '18.  Now in fiscal year '20 we will launch Joyride at the tail end of Q1 with scale and the launch of other new innovative products coming from Q2 forward. As for gross margin we expect to deliver flat to potentially 25 basis points of gross margin expansion in Q1. This reflects very strong underlying margin expansion fueled by NIKE direct growth and strong full price sales. That said FX will be an anomaly with gross margin in Q1. FX will be a 50 to 70 basis points headwind based on year-over-year foreign exchange rates, which moved significantly within Q1 of last year, as well as the timing of our hedge gains and losses.  Assuming current rates we expect the impact of FX on margin to be much less material over the balance of the year. As for SG&A we're projecting growth in the high single digit range in line with the rate of currency neutral revenue growth. As for OIE net of interest expense we expect roughly $0 to $15 million of income in Q1 and we see our effective tax rate in the mid to high teens range in Q1.  As we enter fiscal year '20 we are poised for another year of strong sustainable profitable growth and value creation. The NIKE brand is stronger than ever. We have a robust pipeline of innovation to bring to market. And we will continue to strategically transform NIKE and extend our digital advantage.  With that will now open up the call for questions. 
Operator: [Operator Instructions] Your first question comes from Bob Drbul with Guggenheim Securities. Your line is open. 
Bob Drbul: Hi, good morning. Good afternoon, sorry. It's been a long day. I guess just the first question I have is on China, I was just wondering if you could, go a little deeper in terms of strength of basketball and China apparel running. And just sort of what you see on the ongoing basis with the strong results and your expectation. I think you said continued growth the next decade. Just are you seeing any pressure there from the consumer around American brand?  It doesn't appear so in the numbers, but I just wonder if anything's changing, from that perspective. And just wondering if you could maybe just update us a little bit on how you guys are thinking about, some of the trade discussions that continue to unfold here in the U.S. 
Mark Parker: Great, thanks for the question, Bob. Firstly, your first question, which was around the drivers of growth in China categorically. The short answer is over the course of fiscal year ‘19. All categories real growth in China with the exception of global football, and that relates to the comp versus last year's World Cup. The primary drivers of growth of the biggest drivers of growth. We're making sportswear, basketball, Jordan, running group training, but in general, extremely broad based across men's and women's and while led by digital, also broad based across the marketplace. And then to your question about seeing impact from the U.S. China dynamics of late we have not seen any impact on our business to-date. And we continue to see strong momentum as we enter fiscal year ‘20.  The consumer sentiment around NIKE in China has been actually quite strong. We've made a lot of effort through the years to connect with the marketplace to take insights to use to drive innovation and messaging that is really, as we said, urban for China. So we're seeing that continue. And it's showing up in the results. I'm really proud of the team in China, we have and the complete offense kind of results that we're seeing coming out of China.
Bob Drbul: And just on basketball. I just wonder if I could just zone in on a follow up. But it sounds as if NIKE has capitalized on the NBA jersey opportunity, recently created by designer RJ Barrett, ahead of the NBA free agency, what raw material colors have you guys staged, blue and orange or purple and gold? Can you just give us some insight in terms of how you’re positioning for this weekend and the next few weeks?
Mark Parker: Good one. Okay. You obviously figured out March [ph] in my hometown? Yeah. Right. You got the coast covered? Well, okay. We got the spectrum covered -- the color spectrum. So we're ready for anything, certainly blue and orange, and purple and gold. But, yeah. No other insights other than I think we got the bases covered. Yeah. Thanks Bob. 
Bob Drbul: Thank you. Good luck. 
Nitesh Sharan: Thanks, operator we’ll take the next question, please. 
Operator: Your next question comes from Lauren Cassel with Morgan Stanley. Your line is open.
Lauren Cassel : Great, thanks so much. Could you maybe quantify the impact that the supply chain investments had on gross margin during the fourth quarter? And then my second question is just where do we sit here at the end of the fiscal year in terms of your manufacturing exposure to China? What percentage of that is coming into the U.S.? And then just any, any commentary on -- if he wouldn't raise prices, et cetera, should this go through?
Andy Campion: I'll take your first question on supply chain investments. The short answer is roughly 30 basis points in the fourth quarter. And just to clarify, those, that is because we capture investments that may be for the long term and our other cost of goods sold within margin. So it can be somewhat distorted in terms of current quarter product profitability. 
Mark Parker: And Lauren, your second question again, sorry, was pricing levers with respect to China is that… 
Lauren Cassel: Yeah just the current manufacturing exposure to China? I think you guys have been, actively sort of trying to diversify just where do we sit at the end of the year and how much of that is coming into the U.S.?
Andy Campion: Sure, I'll take that one as well. We, we continue to source product in China. We continue to source product in China. We do externally report that we produce about a quarter of our product in China for the globe. Our exposure in terms of product produced in China to North America is relatively modest. At the same time we see a great opportunity to continue and potentially expand the production of product in China, for China and for other markets.  The short of it is we've got a relatively agile approach to sourcing multiple nodes from a production and distribution perspective. And so while the dynamics are certainly -- while it is certainly dynamic out there with respect to trade, we're relatively well positioned as we always have been for macro dynamics. 
Mark Parker: And we see China continuing to be a critical part of our source space. For China, but also other parts of the world that will continue. Thank you, Lauren. 
Lauren Cassel: Thank you so much. 
Nitesh Sharan: Operator will take the next question, please. 
Operator: Your next question comes from Brian Nagel with Oppenheimer. Your line is open.
Brian Nagel: Hi, good afternoon. Thank you for taking my questions, I appreciate it. So of course, I want to talk a bit. We -- there -- clearly your currency neutral results were quite strong here, actually, very strong. There were indications of weakness elsewhere in Southwest in the United States. The question I have on that is, as you look at the data closer than we could, was there any more -- were there any more top line challenges through the period that maybe not been totally reflected in the aggregate results?
Andy Campion: One challenge from a top line perspective is frankly a nice problem to have, Brian, which is, as we enter the year we've got a particularly strong demand. Its broad based and a couple of years where we have very strong demand relate to Air, NIKE AIR, which is obviously a distinctive innovation relative to NIKE. So to your point about dynamics out there in the marketplace, we've got an innovation that is obviously closely tied to and really powerful within our portfolio that being NIKE AIR. And as Mark mentioned, in his remarks, we are actually expanding our investment in Air manufacturing in the U.S., and that is directly related to demand that we weren't able to fully capture in the second half of this past year.  In other areas and apparel got very strong growth in apparel. And we're ramping up supply with respect to a few classifications where our revenue growth could have been greater based on the demand in the marketplace, particularly around fleece.  And then just overall, when we speak about our growth, we said that it's not really an extrapolation. It's not really just a correlation to what's going on in the market. It's about a transformation in NIKE. And most notably, that transformation is being fueled by innovation. So we're creating something new and different in the marketplace and digital. Again, we're creating something new and different in the marketplace in terms of the digital connection we have with consumers. 
Mark Parker: A couple of other areas I call out quickly. There's the performance has actually been very strong. But I think there's more opportunity for us going forward. I mentioned women's and how we have double-digit growth for the year and it's been accelerating through the fourth quarter. But we're actually very bullish on the opportunity in women's going forward as we move into fiscal '20.  And then also called out core product under $100 price point products within footwear. And we have a whole refresh coming in the sort of core zone, not only with existing technologies being leveraged in that space, but unique design work that is going to refresh about 75% of that the styles in that product zone for NIKE. So that's going to create some more opportunity for us.
Brian Nagel : That's all. 
Andy Campion: Thank you, Brian.
Brian Nagel : I appreciate the detail. Thank you.
Nitesh Sharan: All right. Operator, we'll take our next question, please. 
Operator: Your next question comes from Omar Saad with Evercore ISI. Your line is open.
Omar Saad : Hi, thanks for taking my question. Two questions actually, I wanted to ask first about your comments on RFID inventory, sharing the inventory in the wholesale channel. Kind of wondering what you're thinking about longer term, how you see inventory and inventory management evolving. What the opportunities are to either manage it differently, especially as you talk about matching kind of more diverse consumer demand more accurately?  And then my second question on the SNKRS app, obviously explosive growth there. How do you think about as you scale that platform, I don’t know the saturation is the right word but how do you keep that growing and also keep it special and did you see, how big is that runway to create those unique experience for consumers through that platform before it starts to lose the special? Thanks.
Mark Parker: Let me just touch on the RFID question first Omar. As I mentioned you were launching RFID across essentially we're in apparel beginning in the fall '19 season and that’s going to enable all the footwear, the majority I should say of non-licensed apparel, through RFID and there QR technology. So that’s a big upside for us in terms of our capability to dramatically improve our inventory visibility and accuracy. I think across the marketplace and throughout the supply chain. And ultimately that's going to allow us to serve consumers with the product that they want, when they want it.  So the consumer up upside on this is actually quite powerful. And then we're going to rollout through fiscal '20 and scale the capabilities that we have within RFID globally across our own doors and over time I think we see RFID is a key capability throughout owned and partner retail supply chains. So I think this will help us create the capability to grow profitably across the breadth of the portfolio and ultimately, again it's putting ourselves in position to serve consumers in a way that gets them the product that they need when they want it and where they want it. 
Andy Campion: And then Omar I will take your question on sneakers. We still see tremendous opportunity with respect to sneakers. I will give you some dimension on where we see that opportunity. In terms of what you referred to as kind of special nature of the product that were launching on sneakers. We still supply a very small percent of the demand that were seeing on sneakers. In fact just this morning, we launched a few pretty unique collaboration and again saw sell out within minutes. That’s fantastic in terms of the heat that some of our styles create, but also an opportunity.  Couples of other opportunities within sneakers are apparel. What we done with apparel and in limited cases where we've launched apparel either collaboration or apparel innovation we see an incredible demand and we really have. It's almost overstating it to say we scratched the surface in terms of the heat we can create and connectivity to consumers around apparel.  Women's is another great opportunity through the sneakers app and then two last dimensions I speak to product creation, that's done with the membership data that we get through the sneakers app in mind.  We launched the shoe in this past year. Based on data and analytics relatively Dominican community in New York, which was incredibly well received based on demand and branch. Around that we also see the opportunity, as Mark touched on, to launch innovation directly to members. Sneaker is for people who love the innovation that we provide in the app.  And then finally, what both of us touched on is we often focus on the businesses that we have here in North America because we all experience them as consumers here in North America but we got a tremendous potential to continue to expand the sneakers app globally geographically in markets around the world. 
Mark Parker: I have to add that the core answer to your question about sustaining the heat in sneakers is going to be the product itself. So the strength of the product, how we refresh it, making sure supply demand is in the right ratio and now the whole experience on sneakers is going to continually evolve I think to make it a very compelling kind of have to check back in day to day comp experience.
Nitesh Sharan: Thank you, Omar. 
Omar Saad: Understood. Thank you. 
Nitesh Sharan: Operator we will take our next question please. 
Operator: Your next question is from Jim Duffy with Stifel. Your line is now open. 
Jim Duffy: Thanks. Hope you're all doing well. I’m interested in the comments on digital and physical intersection and how successful that's been recruiting new customers to the digital ecosystem. Does that make you rethink the role of physical retail in the go to market strategies? And then maybe this will dovetail with my second question. With respect to the key city strategies, are there cities you would highlight as being further along in demonstration of the efficacy of that strategy? 
Mark Parker: Well, we see the first of all, the intersection of physical and digital is going to continue to be more and more intimate relationship. I think we're looking at a lot of experimentation, trial and error learning from some of the tests that we're doing. Ultimately, it's about making the experience physically or digitally more richer, more dimensionalized experience for consumers. We are saying where we have those digital connections through like NIKE app at retail, we're seeing the engagement from consumers rise significantly. And the actual spend per consumer in those cases actually jumps up dramatically.  So this is something that we don't think it's just a -- it's not just a current trend, this is the future of the fusion of digital and physical is going to continue. And this is a huge priority. It's a source of investment for us. It's ultimately around how do we better serve customers members. And you'll continue to see us evolve that dramatically. And our ambition is to lead in that space. 
Andy Campion: And then to your question, on key cities, we're seeing over indexing growth in our key cities as compared to the countries in which they are. We're also seeing over indexing results from a brand perspective. Our brand is the number one brand in each of those key cities. I would tell you that in terms of prioritization, which I think was the spirit of your question, our priorities have been in bringing our Consumer Direct Offense to life, first in London, New York, and Shanghai.  So that's where you see us having invested in the new houses of innovation in New York and Shanghai, which do -- that is a bit of a segue from what Mark was just speaking to merging physical and digital in an experience that the consumer really hasn't had for NIKE or anyone else in the marketplace. Those experiences have well exceeded our expectations.  LA is another market where we've started to bring this to life with our smaller format, concept NIKE Live. So I would say that to answer your question, in short, London, New York and Shanghai, I think, are the cities where we're furthest along. But we've got really energized teams in each of the key cities. In fact, we just had all of our key city teams not just jammed together here a couple of weeks ago, at our headquarters to share best practices and learnings and align on how to leverage what we can create globally or in one key city and another key city. So we really think feel great about the progress we're making against that offense. 
Nitesh Sharan: Thanks, Jim. Operator, we will take our last question, please. 
Operator: Your last question comes from Sam Poser with Susquehanna. Your line is open. 
Sam Poser : Thank you for taking my question. I was really wondering, about how you view your brands. As a follow-up on how you view your brand's perceived in China. Somebody said that you were perceived -- other brands were perceived as American or U.S. brands or German brands. But NIKE is perceived as NIKE. Love to get your comment on that. And I have one other question.
Andy Campion: Sure, Sam, thanks for the question. I'll start. Yes, as both Mark and I said, our approach has been to be of China for China. And that's not a new approach. That approach is not based on dynamics of late. That's been the approach we've had in for China for two, three decades. And it ranges from the strong leadership team we have in place there with local talent that understands the consumer. Obviously, in our history, it dates back to our sourcing of product in China.  Over the years, it's been about us fueling the passion for sport and participation in sport, not simply being a commercial enterprise in China, but having a bigger view in terms of the purpose and the impact that we could create, in terms of the lively consumers in China.  And then that last point extends to our relationship with the Ministry of Sport and Education. Our partnerships there as well as our partnerships, more probably out in front in terms of the global impact of the teams, athletes and Federation's in China, but why we're invested in sponsoring those teams and athletes and federations is because of their impact on local consumers in China.
Sam Poser: Thank you. And then secondly -- 
Mark Parker: And also as the insights that we're getting for China are actually helping us create China -- products that's more relevant for China but also other parts of the world. So this isn't about importing Western concepts into China as much as it is trying to actually take the insights we gain in China and use it to enrich our global position as a brand and as a product offering. So it's truly not just local for local. It's China putting us in a position to be a better global company. 
Sam Poser: Thank you. And then just to follow-up on a prior question. The RFID, does this mean with your core partners, Nordstrom and Foot Locker and so on Dick's and so on, that you will be able to overtime, interact with them and maybe interact between your systems to be able to make your inventory act as a whole more efficiently?
Mark Parker: Yes. Sorry. Sam, did you add more to that question. Go ahead. 
Sam Poser: Well, yes, and I'd love color and may add something else. But go from there.
Mark Parker: Yes. RFID provides us an opportunity to do what we aspire to do, which is connect the marketplace and do that through our NIKE Direct business, but also through strategic wholesale partners, partners that we view as being part of the NIKE Network of the future. We are already testing the use of RFID in being able to give consumers greater visibility into product down to the style, color and size that they're looking for.  And I'd say that's probably the sharpest and most intuitive aspect of this opportunity is visibility into the inventory for a company like NIKE with the breadth and depth of our portfolio is somewhat limited across our broad distribution within the marketplace, being able to leverage our RFID to give almost 100% visibility into what we have, by style, color and size across our marketplace is an incredible opportunity in terms of meeting consumer demand real time in the moment. 
Sam Poser: And then lastly, for your speed initiative -- with your speed initiative, how long do you get to double the speed or beyond that this RFID will certainly help that?
Andy Campion: Yes. Well, that's one of the measures of success. We feel really good about the progress we're making. On doubling the percentage of products and what we call one half the time to market. We've seen some really strong results over the past year. And we expect that to continue through the next year. And a lot of that effort is led by what we call the Express Lane. And Express Lane as I mentioned, I think, I commented that 20% of our product, sale revenue in EMEA is actually coming from our Express Lane initiative.  So we see the speed initiative for NIKE, the time to market cut in half initiative, really accelerating through this next fiscal year. And it's ultimately going to be a big competitive advantage for us.
Mark Parker: Thank you, Sam. And thank you, everybody. Thanks. Thank you for joining us today and we look forward to speaking with you next quarter. Take care. Bye.
Operator: This concludes today's conference call. You may now disconnect.